Operator: Welcome to Workday’s Third Quarter Earnings Call. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of the conference. With that, I will hand it over to Mike Haase.
Mike Haase - Investor Relations: Welcome to Workday’s third quarter fiscal 2015 earnings conference call. On the call we have Aneel Bhusri, our CEO and Mark Peek, our CFO. Following their prepared remarks, we will take questions. Our press release was issued after close of market and is posted on our website where this call is being simultaneously webcast. Statements made on this call include forward-looking statements such as those with the words will, believe, expect, anticipate and similar phrases that denote future expectation or intent regarding our financial results, applications, customer demand, operations and other matters. These statements are subject to risks, uncertainties and assumptions. Please refer to the press release and the risk factors and documents filed with the Securities and Exchange Commission, including our most recent quarterly report on Form 10-Q for information on risks and uncertainties that may cause actual results to differ materially from those set forth in such statements. In addition, during today’s call we will discuss non-GAAP financial measures. These non-GAAP financial measures, which are used as measures of Workday’s performance, should be considered in addition to, not as a substitute for or in isolation from GAAP results. Our non-GAAP measures exclude the effect on our GAAP results of share-based compensation, employer payroll taxes on employee stock transactions, debt discount and issuance costs associated with our convertible notes and for fiscal 2015, also exclude amortization of acquisition-related intangible assets. You can find additional disclosures regarding these non-GAAP measures including reconciliations with comparable GAAP results in our earnings press release and on the Investor Relations page of our website. Also, the Customer’s page of our website includes a list of selected customers and is updated at the beginning of each month. The webcast replay of this call will be available for the next 45 days on our company website under the Investor Relations link. Our fourth quarter quiet period begins at the close of business January 16, 2015. Unless otherwise stated, all financial comparisons in this call will be to our results for the comparable period of our fiscal 2014. With that, let me hand it over to Aneel.
Aneel Bhusri - Chief Executive Officer: Thanks Mike. Earlier this month, we hosted Workday Rising, our eighth annual customer conference. Event attendance reached a record high with more than 4,500 customers, prospects, partners, media, industry analysts and employees joining us from San Francisco. I will take a moment to share some of the highlights here. Each day at Workday Rising we announce results of our customer satisfaction survey. Our company goal is to always have at least 95% customer satisfaction rate. We are very pleased to announce that for the third year in a row Workday achieved a 97% customer satisfaction rate. When we started Workday in 2005, it was the promise to bring customer focus back to the business of enterprise applications. We are honored and humbled to maintain these levels of satisfaction not generally associated with enterprise software. We also introduced a new suite of applications called Workday Insight Applications. We believe these applications leapfrog current analytics by combining Workday data and third-party data and not just offering predictions, but actually recommending how business leaders should take action. Workday Insight Applications will harness advanced data science and machine learning algorithms to equip customers to make business-critical, financial and workforce decisions. We plan to deliver initial Workday Insight Applications in calendar year 2015 and additional details on availability and pricing will be disclosed at a later date. I believe these applications will market new era of analytics that will provide our users with a true competitive edge. Focusing in on the third quarter, I’d like to discuss two areas of momentum before turning it over to Mark, continued customer demand among large organizations in Europe and very positive success amongst our financial management customers. First, Unilever co-headquartered in London and Rotterdam joined us in the quarter as a new Workday Human Capital Management customer. Unilever has more than 174,000 employees across more than 90 countries. Unilever joins our growing European customer community, including Rolls-Royce, Sanofi, Philips, Piaggio and many others. We also continue to make big strides with Workday Financial Management and in September we announced that we have passed the 100 customer milestone. In the quarter, we welcome new customers across range of industries, including technology services, business services and higher education. As we have said before, customers selecting Workday is only the first step, a real measure of success as happy live customers. And as of today, almost half of our financial management customers are live. As we shared at Workday Rising, the City of Orlando is now live with financial management, human capital management and shelter insurance provider of home, life, auto and business insurance to customers in 17 states also recently went live with Workday Financial Management. We continued to be excited about the prospects for our financial applications as we head into 2015 with good momentum. And now back over to you Mark.
Mark Peek - Chief Financial Officer: Thanks Aneel and good afternoon everyone. We are pleased with our strong third quarter which generated record quarterly revenues and trailing 12 months operating cash flows. Operationally we continued to execute well. We continue to focus on customer satisfaction and believe once we sign and deploy a customer, we keep that customer. Although still a small part of our volume, our customer renewal rates were strong. For the second consecutive quarter total ACV on quarterly renewals exceeded $10 million. As Aneel mentioned Workday Rising was a big success with more than 4,500 attendees, including more than 2,400 customer attendees and over 500 attendees from 200 different prospective customers. Our balance sheet remains strong with more than $1.8 billion of cash and marketable securities and over $500 million of unearned revenue. Trailing four quarter operating cash flows were positive for the 8th consecutive reporting period. We are pleased with our accomplishments and I want to thank our employees, our partners and our customers. I will now walk you through the financial details of the third quarter. Total revenues for the third quarter were $215.1 million, an increase of 68% from a year ago. As the vast majority of our sales are currently in U.S. dollars, the impact of exchange rates is minimal. Subscription revenues for our cloud applications were $164.4 million, up 75% from last year. The weighted average duration of new contracts signed in our third quarter was approximately 3.4 years. Professional services revenue was $50.7 million, an increase of 49% compared to last year. Job one continues to be the successful deployment of our cloud applications, whether by our ecosystem partners or us. Professional services revenue was driven by a record number of customers that either went live in Q3 or are scheduled to go live in Q4. We expect approximately 75 customers to go live during the fourth quarter. Professional services revenue and margins can be a bit lumpy particularly with education and government customers. Total unearned revenue at quarter end was $508 million, up 6% sequentially and 44% from a year ago. Over 90% of our unearned revenue was from subscription fees. Short-term unearned revenue was $441 million, an increase of 8% sequentially and 58% from last year. Long-term unearned revenue was $67 million, down 8% both sequentially and from last year. During the third quarter, we collected just over one year of the total contract value being billed upfront at signings, in line with prior periods. Looking ahead to the fourth quarter of fiscal 2015, the strength of our business model and continued momentum provides very good revenue visibility and we expect another solid quarter. Total revenues for the fourth quarter are expected to be within a range of $219 million to $222 million or growth of 54% to 56% as compared to the prior year. Subscription revenues are anticipated to be within a range of $176 million to $178 million reflecting year-over-year growth of 59% to 61%. As has been the historical seasonal trend, we expect professional services revenue to be down sequentially in the fourth quarter due to the lower utilization rates during Thanksgiving, Christmas and New Year’s weeks especially since Christmas and New Year’s fall in the middle of the week. When we report our fourth quarter results, we expect to provide revenue and operating margin guidance for our fiscal year ending January 2016. However, as we are developing our operating plans for next year, we are building our investment and hiring models assuming no more than 40% revenue growth for fiscal 2016. With the expected derived billings or the sum of revenue plus the change in unearned revenue, we currently expect the total for the current fiscal year to be approximately $975 million to $980 million or a growth of 63% to 64% over fiscal 2014. For fiscal 2016, we anticipate generating approximately 40% of total billings in the first half of the year with the first quarter down sequentially from the fourth quarter of the current year and approximately flat to the most recent third quarter. Keep in mind that derived billings in Q1 of this current year were especially strong and benefited by approximately $15 million to $20 million from contracts that were anticipated to close later in the year. Let’s spend a few minutes on operating expenses and our results of operations. Unless otherwise noted, all references to our expenses and operating results are on a non-GAAP basis. We had approximately 3,500 employees at the end of our third quarter. Remember that two-thirds of our total expenses are employee-related. Our third quarter gross margin was 69.5%, up 190 basis points from the second quarter. Subscription gross margin was 84.5% and includes the costs related to providing our cloud applications, compensation and related expenses for operation staff and data center networking and depreciation. The subscription gross margin improved by approximately 30 basis points sequentially due to increased revenue and the ongoing economics of our subscription models. We expect subscription revenue will increase as a percentage of total revenue over time, but that our gross margin will likely fluctuate from quarter-to-quarter. Professional services gross margin increased by 830 basis points sequentially driven largely by higher utilization rates of our consultants and a concerted effort by our customers to go live before year end. We anticipate the professional services gross margin to decrease in the fourth quarter due to normal holiday season slowing. Our third quarter operating loss was $2.9 million or negative 1.4%. This was significantly better than we had anticipated and largely the result of the operating leverage received on increased revenue and the very strong professional services margins. Professional service margins also had a significant positive impact on our operating margins, but given expected seasonality this trend will reverse in the fourth quarter. Although long-term profitability and cash flow generation are important goals, we believe our focus today needs to be on market expansion, continued product innovation and growth. Product development expenses in the third quarter were $65.4 million, up 9% sequentially and up 56% from a year ago. We continue to invest in our product development for new solutions such as student, professional services automation as well as strengthening and extending our suite of HR, payroll, and in particular financial management applications. Sales and marketing expenses were $71.5 million, an increase of 1% sequentially and up 45% from last year. As mentioned last quarter, our Q2 sales and marketing expenses included increased marketing investments as well as variable compensation tied to several large transactions in the quarter. For Q4, we expect sales and marketing expenses to increase sequentially. General and administrative expenses were $15.5 million, up 6% from Q2 and up 50% year-over-year. The net loss per share was $0.03 on 184 million weighted average shares. The share count includes 6.9 million weighted average shares from our January follow-on offerings. Given our net loss, all outstanding stock options, warrants and common stock equivalents are anti-dilutive and not included in the loss per share calculation. Taking into account, our adjustments to GAAP operating income Mike referenced at the start of the call, we currently expect our fiscal fourth quarter non-GAAP operating margin to be within a range of negative 3% to negative 5% of total revenue and for the year to be approximately negative 7%. The GAAP operating margin for the fiscal fourth quarter and the full year 2015 is expected to be approximately 21 to 23 percentage points lower than the non-GAAP operating margin. Other expenses increased to just under $2 million. The sequential change was largely driven by the revaluation of foreign currency balances. For your modeling, our quarterly non-GAAP interest expense from our convertible notes is approximately $1.6 million. From a GAAP perspective, the Q4 interest expense, including $6.2 million of non-cash amortizations reflecting the discount in issuance cost is expected to be approximately $7.8 million. The interest payments on the notes are made during our fiscal second and fourth quarters. Now, on to our balance sheet and statements of cash flows. Cash and marketable securities at quarter end were over $1.8 billion, up $12 million sequentially. Operating cash flows were $41 million in the third quarter and $89 million for the trailing 12 months. Free cash flows for the third quarter were $13 million and for the trailing 12 months a negative $5 million. We expect to invest approximately $100 million to $110 million in CapEx during fiscal 2015. As mentioned before, we acquired a leasehold interest in land in Pleasanton adjacent to our existing office space. We are actively evaluating our alternatives for this site, but potential development costs are not yet factored into our CapEx guidance. To summarize, we are very pleased with our solid third quarter. Looking ahead we are investing for the long-term and see a very large opportunity in front of us. You should expect us to continue making significant investments in our product development and global market expansion to maximize our long-term growth opportunities. With that, let’s begin the Q&A process.
Operator: [Operator Instructions] Your first question comes from the line of Heather Bellini with Goldman Sachs.
Heather Bellini-Goldman Sachs: Great. Thank you so much for taking the question. Mark, I was wondering if you could share with us a little on long-term deferred trends, your short-term seems pretty typical, but long-term deferreds had a sequential down tick. And I know that you guys aren’t incenting the sales force the way you did in the past to get those deals, but is there anything in particular you could call out related to that? And then I just had one quick follow-up. Thank you.
Mark Peek: Yes. Thanks Heather. We expect really long-term deferreds to stay relatively stable over time. We continued to target getting one year of ACV build when we close a contract. And we – and other than that what’s coming into long-term deferreds are any backlog that would have multiple years of billing and those are relatively unusual. And so we just expect it to be relatively flat and you shouldn’t take too much into trends one way or the other quarter to quarter.
Heather Bellini-Goldman Sachs: Okay, great. And then the follow-up would just be related to the opportunity in Europe and I know Aneel you mentioned some European customer success stories when the call started. I was just wondering, how do you think you are positioned from a resource perspective and for us to – how are you adding resources in the region so we can really start to see that business ramp the same way it’s been doing in the states?
Aneel Bhusri: So, we had a series of big wins and the way our strategy has been really from day one as we go into new market like the UK, establish ourselves, get a handful of successful customers and they really help us recruit the next wave of customers. So where we are today is we have done that in the UK. We have done that in France. We have done that in the Netherlands. Feel very good about all of those markets. We have a great leader Chano Fernandez. He has built out a very strong management team. And now we are going to begin to move into the other large economies in Europe and I would just say stay tuned on that. So we are seeing the same patterns that we did in the U.S. And in terms of adoption it’s been slower to get going in Europe and now that is going. You see one big company after another looking at a true cloud solution as a right path for them.
Heather Bellini-Goldman Sachs: Great. Thank you.
Operator: Your next question comes from the line of Jennifer Lowe with Morgan Stanley.
Jennifer Lowe-Morgan Stanley: Great. Thank you. Maybe just to follow-up on the last point there around traction in Europe. I know that payroll solutions in Europe are kind of on the roadmap, is that something that comes up at all in conversations in Europe regarding customers’ intentions around adoptions?
Aneel Bhusri: It definitely does, we do also have a strong global payroll network. We integrate into payroll solutions from local providers and large companies like ADP. But it definitely still comes up. We have got UK payroll and French payroll on the horizon. UK payroll is tracking nicely and French is just behind that. I think in those two markets it will open up the market for those companies that in many cases had bought a client server solution that was HR payroll combined. And if they wanted the payroll solution from a different vendor we probably couldn’t address that opportunity beforehand and now we can. And especially within the case of UK payroll, it’s now close enough in terms of timetable that customers can actually count on it being there and we can actually – we can give them a roadmap about when they go live.
Jennifer Lowe-Morgan Stanley: Okay, great. And just one more for me, Mark, you had mentioned in the prepared remarks that currency really didn’t have an impact on the quarter? But I just wanted to clarify that a little bit with given that there are some timing differences and the impact around revenue versus what we might see in deferred revenue and billings? Was there also no impact on the billings number from currency or was there potentially a bit more of an impact there just given that the timing of when you report?
Mark Peek: Yes. Jennifer, to-date we have been primarily billing in U.S. dollars and having our contracts in U.S. dollars in Europe as well, so no real impact, but more news on that as we evolve. We are seeing more and more demand for local currency contracts, but at this stage, it doesn’t have an impact on revenue or billings.
Jennifer Lowe-Morgan Stanley: Okay, great. Thank you.
Operator: Your next question comes from the line of Raimo Lenschow with Barclays.
Raimo Lenschow-Barclays: Hey, thanks for taking my question. Aneel, just a quick one for me, so if I look at the Unilever win you announced that seems like if I look to my work, it seems like a PeopleSoft conversion. Can you talk a little bit about not on a vendor specific, I know you don’t like it, but just more like the people that are switching kind of what’s, where kind of roughly what’s the kind of motivation to kind of do that and what are the pain points they are talking about that you can solve that our guys can’t solve at the moment? Thank you.
Aneel Bhusri: So, in the realm of large global enterprises, today we are really the only vendor that has taken those companies live with a unified solution that includes HR, talent management, benefits all the like in one unified solution and taken them actually live and put them into the production whether it’s an HP or a Flextronics. And I think those data points are a starting point for why those large companies have chosen us. In almost all cases, they are facing an upgrade of our legacy system and you know the math on that. The legacy systems are so expensive to upgrade. They look at different alternatives. And so at that point, we really intersect the deal and it’s really the same – it’s really the same playbook we have had since we started the company. And in this case, Unilever, the CIO, Jane Moran came from Thomson Reuters, they had a successful project with Workday and so she had the conference that we would deliver on their solution. And so we had a combination of the HR and IT folks very excited about what we are doing.
Raimo Lenschow-Barclays: Thank you. Well done.
Operator: Your next question comes from the line of Brent Thill with UBS.
Brent Thill-UBS: Hey, Mark on the revenue guidance for next year of no more than 40%, I think there is some trying to understand how you could go from low 70s kind of mid 60s and then fall off that quickly. So, I am just curious is there other than you being conservative, is there something else that you are seeing that we should be thinking about or is this just too early, it’s an initial view?
Mark Peek: Well, I think the important thing to keep in mind is that we wanted to provide you with where our planning horizon is as we are looking at making our investments a year ago. We did the same thing and we suggested that we are planning on no more than 50% growth. Now, I am not suggesting that you extrapolate that trend, but we just think it’s prudent until we have the opportunity to complete our planning process. The fourth quarter is seasonally strong. We will have a better look as to demand and trends after the fourth quarter completes and what our fiscal ‘16 pipeline looks like and then we will provide you more information when we report fourth quarter results.
Brent Thill-UBS: Okay. And for Aneel, you mentioned you are making really good progress on the financial customers, I think this is probably one of the areas that we all get the most questions on. And I am curious if you could give us a sense of the shape of those customers that are coming live, you mentioned half are live. Are you starting to see larger ones start to come live and give you more confidence that you can start scaling up in some of those new deployments?
Aneel Bhusri: Yes. We are now very comfortable with a 10,000 to 15,000 person organization going live on financials and the associated volumes. And our pipeline now has companies north of that size 20,000 employees and higher. When they decide to sign-up it’s hard to predict like any new product line it’s lumpy. But all the trend lines are in the right direction and I am really proud of our development team in terms of what they are bringing out so quickly. I think these inside applications are going to be transformational for financials going into next year. If you think about a historical financial system it was really an accounting system that you had it somehow hijacked a system to create management reports and insight. In the case of Workday, these applications really are built around insight and intelligence which if you sit down with the CFO that’s what they are looking for. They can get the accounting done. So I think as we move deeper and deeper into analytics it’s going to cause more and more replacement cycles to begin. And it’s really that it’s a really powerful message for a CFO that can already get accounting done and wants to be a better business partner to the business.
Brent Thill-UBS: Thank you.
Operator: Your next question comes from the line of Walter Pritchard with Citi.
Walter Pritchard-Citi: Hi, can you hear me.
Aneel Bhusri: Yes.
Walter Pritchard-Citi: Sorry about that. Just following the Brent’s question I guess as you look at the pipeline for next year and I guess could you talk about sort of sales cycles and I mean are you just at a point this year, it would seem strange to kind of start talking about next year without having any kind of visibility and just trying to understand why you brought that up and as you look at the biggest swing factors there, I am assuming it’s what’s in your pipeline. Could you talk a bit about kind of the type of visibility you have on deals that might end up being deals that close next year?
Aneel Bhusri: Yes. Really the intent of talking about fiscal ‘16 now is I know that you all will have work to do and you will start to think about what do you do for fiscal ‘16 and what I am really trying to do is ask you to wait until after we provided the fourth quarter and we will give you a lot more color. We are in the middle of our planning process. As I said the fourth quarter has historically been the seasonally strongest quarter for us. With that said our linearity tends to be towards the back end of the quarter. So we will have a lot better sense as to where we are with the quarter and then that of course will play through for the rest of the year. But we are just giving you some guidance as to how we are thinking about fiscal ‘16 as we complete our planning process.
Walter Pritchard-Citi: And just on the product side, on the recruiting module could you talk about you have now had that on quarter out – I think for three to four quarters. Could you talk about what sort of uplift you are seeing from a deal perspective in terms of attaching that into – in the core HR and do you think there is still more work you have to do to get that into – to get to a point where you see more regular attach?
Aneel Bhusri: It’s still a young product. Candidly, we have been surprised to the upside on how many attaches there have been already. I don’t have the exact numbers in front of me this past quarter and we are not disclosing recruiting customers, but it’s on the same trend line it’s one of our two or three best attach products. And it only gets better as every update goes along. We saw – we are seeing customers go live on the second version of it and that is still a young product. I mean as compared to systems like Taleo that have 30 versions into it. So again I am surprisingly surprised to the upside on where the product is and the attach rate and I think we are going to see a very strong year next year on the recruiting side.
Walter Pritchard-Citi: Great. Thank you.
Aneel Bhusri: I would just – I would also add we really are not targeted going back into the install base as much as it’s been part of the new sales cycle. I think going forward that will be as we believe the product is more ready to take out in particular the Taleo installments. We will begin to look at our install base as well of people that can move over to the Workday recruiting solution.
Operator: Your next question comes from the line of Karl Keirstead with Deutsche Bank.
Karl Keirstead-Deutsche Bank: Thanks. My question is for Mark, your non-GAAP operating margin loss of 1.4% getting very close to being breakeven is it even on the table that Workday might post a breakeven and non-GAAP operating margins at some point in fiscal ‘16. I know you mentioned you are doing your planning, but maybe some comments would be helpful? Thank you.
Mark Peek: Yes. Karl, I think that it’s certainly possible that in any – use it in particularly in the back half of the year that will have a quarter that could go positive. Our focus frankly has been on continued growth while doing that efficiently and so we have been focused on operating cash flows particularly looking at on a trailing 12-month basis and we had another strong trailing 12 and it’s the eighth consecutive quarter of positive operating cash flows. And so we tend to focus more on the cash flows than we do on the non-GAAP operating margins. This quarter in particular we were positively impacted by a very strong professional services quarter with high utilizations and overall 20% margins, but we don’t expect that trend to continue.
Karl Keirstead-Deutsche Bank: Got it. Good color. Thank you.
Operator: Your next question comes from the line of Jason Maynard with Wells Fargo.
Jason Maynard-Wells Fargo: Hey, good afternoon guys. I just had a couple of quick questions. First, Aneel, maybe talk a little bit about the CapEx plans in Europe and if there is anything on that front that you think you need to accelerate or continue to add now that you started to get some of the bigger flagship accounts? And then a follow-up maybe on – Mark, you could handle this one for next year, within that no more than 40%, I am just curious if there is any color you can share in terms of HR financials or maybe some of the new add-on analytical applications as to what’s perhaps in that preliminary forecast? Thanks.
Aneel Bhusri: On the CapEx side, I am going to assume that largely means data centers. We have got our pair of data centers up and running in Europe. We have had that be the case for a while. We will continue to add servers to those two locations to meet the demand. So, that’s really the primary CapEx expense. We are not looking at buying any real estate over in Europe. And I don’t think there is anything else unless, Mark, I am missing something on CapEx, I just think it’s the data centers and we have got the two big investments done and so now it’s more just continuing to add to those locations.
Mark Peek: Yes. The only other driver behind CapEx for us is just our headcount growth and as it ties to facilities either in building out lease facilities and as we have said for a number of quarters now we have a land lease adjacent to our Pleasanton headquarters and we are evaluating whether to occupy – to build and occupy an office park there.
Jason Maynard-Wells Fargo: Yes. I was specifically referring to any additional locations, just to be more direct?
Aneel Bhusri: Yes. We are comfortable with the two data center locations that we have. So, in terms of new offices, stay tuned, but those are largely headcount driven.
Mark Peek: And then Jason, with respect to thinking about fiscal ‘16 again it’s early for us, but we are looking at each of the products and each of the geographies clearly from a growth rate perspective with financials. I am just crossing the 100 customer threshold. It’s newer from a momentum perspective, but we are focusing very, very clearly on financials, on HR as well as the attach of payroll and recruiting and Insight Applications and then taking a pass at it geographically as well. And at the same time, as we talk to you about fiscal ‘16 we will likely spend more time on other renewal cycles.
Jason Maynard-Wells Fargo: Great, thank you.
Operator: Your next question comes from the line of Ross MacMillan with RBC Capital.
Ross MacMillan-RBC Capital: Thanks a lot. Mark, I just was curious you talked about ACV and renewals again being over $10 million, I think that was about the same number you provided last quarter. And I guess I had two questions on that. One, should we expect that to actually increase going forward and maybe specifically was it an increase sequentially but just over $10 million? And then second, as we think about that, what’s the implication for the financial model as your base of renewing ACV grows in the mix? Thanks.
Mark Peek: Yes. Well, certainly, renewals is going to be a more and more important part of our model. When we have a new customer, those tend to be at least 3-year contracts and so we aren’t looking at the renewal for some period of time. And so as you go backward in time you can – you will be able to see just based on historic billings that our renewals will be a more significant part of the model. And we also assume that we are not going to have a lot of turnover a lot of turn with our customers once we retain them because of the high level of customer satisfaction. And so it becomes an important part of the model, particularly from a cash flow generation and profitability perspective because we are not re-creating that initial sale and all costs that goes into the initial sale. And for customers they don’t have the deployment costs to consider.
Ross MacMillan-RBC Capital: May be just one follow-up. Thank you. Aneel, just curious any changes in the competitive landscape as you especially as you move into some of these larger core HCM customers? Thanks.
Aneel Bhusri: The main competitors are fiercely competitive, nothing has really changed. Let’s say from time to time now I mean they have offered free software for the last several years. So I am not sure what more they can do every now and then we will see someone offer free professional services, I am trying to figure how that’s a good business for them. But at the end of the day, you are getting what you pay for, but I would say it’s pretty much the same. The bigger deals, the larger trends – as we moved up market in HR they are just work more complex organizations longer sales cycles and that’s not any different for Workday than it was for PeopleSoft. As the deals got bigger, the sale cycles got longer too.
Ross MacMillan-RBC Capital: Thank you.
Operator: Your next question comes from the line of Brian White with Cantor Fitzgerald.
Brian White-Cantor Fitzgerald: Yes. Aneel I am wondering if you could give us some initial feedback on the Worday student recruiting and also how big is this opportunity, it seems like there is a lot of higher education institutions in the U.S. it seems big. And then on Insight Applications I just want to be clear, is this an incremental growth driver or is it just an strength in the ecosystem that Workday already has? Thank you.
Aneel Bhusri: So I will tackle the first one. Actually let me tackle the higher ed one quickly, that’s really more in the bailiwick of my Co-Founder, Dave, he is personally driving the higher education market. Student recruiting is off and running and we now have a customer live on it. In terms of the size of the opportunity that’s probably better for a follow-up call and he can gets you more details. But you can measure it in the U.S. in thousands of universities 2,000 to 3,000 universities that are good targets. It’s typically an underserved market and it’s a market that is a well known to us from our past company. The reason why it’s so interesting is that with the student system, when you take down a student system it also brings the HR and finance solution along with it. So many ways you should look at it as the first step of the Workday moving into more of an industry orientation with higher education being that first push. But it’s a sizable opportunity. I think that the piece to recognize is every time we sell a student system or student recruiting is likely tied to a full suite of HR and financials as well. On the Insight Applications, we are still working on the pricing element, but it will definitely be an incremental spend for our customers largely because it would require them to subscribe to the big data platform and these apps are all built on top of that big data platform. What we learned from the big data platform we introduced a year ago was while the customers like the tool they really wanted applications and these applications really fit what customers are trying to solve with big data but rather than asking them to find the needles in the haystack, these machine algorithms are actually finding the needles for them and then letting them decide what to do with that. So it’s incremental. We still haven’t figured out exactly how we will price it but it will definitely be tied to the big data platform.
Brian White-Cantor Fitzgerald: Thank you.
Operator: Your next question comes from the line of Kirk Materne with Evercore.
Matt Williams-Evercore: Hi, guys. It’s Matt Williams in for Kirk. Just one from us, Aneel I was wondering if you could discuss the thought process around the Insight Applications and how you plan to roll that out in calendar ’15. I guess specifically the apps primarily aimed at existing HCM or financials customers or is this a situation where the apps actually potentially bring in new customers to work there?
Aneel Bhusri: Well, so we will only sell the apps to people that have either subscribed to Human Capital Management or financial applications. We won’t sell them standalone. I am not sure if that was part of your question, but we won’t sell them standalone, but I believe it is a – it will be a big driver for new sales. And simply put, I think that the cloud has been a transformational platform, but in many ways what you can do with the data is really the next leap forward. I mean, at the end of the day, companies are getting better and better at automating their transaction and processes. These Insight Applications really truly make them run their – or help them run their businesses better. And I think if you look forward 5 years from now, vendors that are in a similar space like Workday will lead with the analytics and lead with these decision-making platforms and the transactional platforms will just be assumed to be there. So, when we sit down with an executive – I sat down with a CEO of a large company and he was looking to understand what is a good career path for an entry level person, how best to address turnover? In the old days, we would have said here is a set of tools and you can slice and dice the data any way you would like and figure it out. Now, we can actually tell them with 70% confidence, this career path will lead to a successful employee down the road, this one won’t. We can tell you with – I mean, the confidence levels move around based on the data itself, but we can give them not just ideas of turnover issues, but actually recommendations on how they might solve it. So, I mean, from our perspective this is the future of enterprise computing and so we are going to start leading with it pretty strongly going into next year.
Matt Williams-Evercore: That’s great. And maybe just one quick follow-up again on the product side, but I was just wondering if you could discuss the importance of the composite reporting feature in this version of financials, was that something or was that a feature that customers were sort of waiting on in terms of when they might go live and come on board with Workday?
Aneel Bhusri: Huge, it was a huge feature for us. And in many ways, it necessarily wasn’t something that they were waiting for – several were waiting for to go live, many others just looked at as there is huge time savings. We had several customers tell us it took them two weeks to pull together all the data and then write reports for them and now they can do it in a matter of minutes since we can construct these reports from myriad of data sources and make it very, very simple for them to construct these reports that never usually come from one data source. So, it was probably the biggest thing on financials over the last 12 months. In terms of customer satisfaction, there has been composite reporting.
Matt Williams-Evercore: Great. Thanks for taking the questions.
Aneel Bhusri: Operator, we are going to take two more questions please.
Operator: Certainly. Your next question comes from the line of Scott Berg with Northland Capital.
Scott Berg-Northland Capital: Hi, Aneel and Mark. Congratulations on a good quarter. One question for me really quick is around your hiring plans year-to-date for fiscal ‘15 here, you continue to get better at leveraging your operating lines on all three of them versus I think initial models earlier this year. Are you on pace or behind pace or ahead of pace on where you think those hiring expectations are for the year? And then do we get any catch up or I guess foot off the pedal type of movement in Q4 if ahead?
Mark Peek: Yes. Scott, we are hiring at about the pace that we had anticipated. We are in a very competitive market for talent, but we are also a very attractive place to work as acknowledged by our employees with the success we have had in the best places to work surveys. And so we continue to invest in people. Again, when we talk about fiscal ‘16 we will give you some more insight into our headcount plans into the future.
Scott Berg-Northland Capital: Great, thank you.
Operator: Your final question comes from John DiFucci with Jefferies [sic] [JPMorgan].
Unidentified Analyst: Thank you. This is [indiscernible] from John DiFucci. Can you update us on the partnership with large system integrators, not just on the implementation work, but in terms of partnering with them to drive new business? Have you seen any change in terms of how much of your business is driven by large system integrators and how do you manage any potential channel conflict with them in regards to their existing Oracle and SAP relationship? Thanks.
Aneel Bhusri: We have only seen positive changes with the large systems integrators. We have got strong partnerships with Deloitte and Accenture and IBM and increasingly PWC and KPMG and Towers – sorry, Towers Watson and then Aon Hewitt. So we have got a pretty large set of large systems integrators and we will have to talk to them. But I think all their practices are doing well. The ones that have been around longer are doing better, if there is any notable recently Accenture really stepped up their investment and brought in the leadership team that had to scale their sales force practice, they brought that to the Workday practice so that to me that is a positive sign. In terms of channel conflict we really don’t get into the realm of choosing partners for our customers. The customers really need to make the decisions themselves. We basically just make sure that it’s a level playing field and people are doing right by the customers. That’s really our focus. So I don’t know if that answers your question. In terms of how they compete with their internal practices that’s really we don’t have a ton of visibility into that. What we ask them to do is to have a dedicated Workday practice with dedicated Workday leadership. And all of the organizations I have mentioned have those and then it’s just about – it’s just a matter of demand where are they getting the most demand and they will put their heads where they get the demand and fortunately for us they are getting a lot of demand for Workday.
Unidentified Analyst: Okay, great. And then one last question, can you just update us on what’s driving the higher ACV renewals, is it simply more seats or are you able to add new products when they are renewing?
Mark Peek: For the most part again the renewals cycle is just – is really just starting for us and so we don’t have a great historical data but it’s both. I mean it’s clearly it’s a combination of we do have some pricing built in to the contracts and into the negotiations as we renew the companies add seats or add the number of people covered by the contract. And then it hasn’t really been an active pursuit at this stage of engaging in selling additional products at the renewal cycle because we keep the engagement with our customers really throughout their lifecycle. So it hasn’t actively been adding new SKUs at that stage.
Unidentified Analyst: Okay, great. Thank you so much.
Aneel Bhusri: Okay. Thank you.